Operator: Good morning, ladies and gentlemen, and welcome to OceanaGold Corporation Fourth Quarter and Full Year 2024 Earnings Conference Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] I would now like to turn the conference call over Rebecca Henare. Please go ahead.
Rebecca Henare: Good morning, and welcome to OceanaGold's fourth quarter and full year 2024 results webcast and conference call. I'm Rebecca Henare, Vice President of Investor Relations. We are joined today by Gerard Bond, President and Chief Executive Officer; Marius van Niekerk, Chief Financial Officer; David Londono, Chief Operating Officer, Americas; Peter Sharpe, Chief Operating Officer of Asia Pacific; and Craig Feebrey, Chief Exploration Officer. The presentation that we will be referencing during the conference call is available through webcast and on our website. I would also like to remind everyone that our presentation will be followed by a Q&A session. As we will be making forward-looking statements during the call, please refer to the cautionary notes included in the presentation, news release and MD&A, as well as the risk factors set out in our annual information form. All dollar amounts discussed in this conference call are US dollars. I will now turn the call over to Gerard for opening remarks.
Gerard Bond: Thank you, Rebecca, and thank you all for joining the call today. We're very pleased to report strong Q4 results with the strong production in the quarter, driving delivery of a number of records. Record quarterly and half year production at Haile, record quarterly and annual net profit for the company, and record quarterly and annual free cash flow for the company. I'd like to view the year through the lens of our five-pillar strategy. From a production perspective, we finished the year very strongly in line with the updated guidance. In addition to a production record at Haile, we also had a much improved fourth quarter at Waihi, and our best quarter in three years. And at Macraes, the team delivered record annual throughput without any large investment of capital, which underpinned its strong year. The Didipio team had a number of operational issues in the period, but they're doing a great job of addressing them and positioning that business for long-term success. Culture really matters as the result of OceanaGold are delivered by its people. And to this end, I was proud to see that our employee engagement scores increased significantly in 2024 to above average levels in our industry, assisted by a number of company-wide programs. This high level of engagement helps explain both the strong performance and our confidence with delivery in the years ahead. In terms of sustaining and growing our business, we released yesterday our updated annual reserve and resource estimates. And I'm really pleased to share that we increased our reserves by 27% net of mining depletion, and increase the average grade of those reserves. This was driven by outstanding exploration results at both Haile and [indiscernible], including an initial mineral reserve declaration at [indiscernible]. Together with record average realized gold prices, strong production performance and the ability to convert most of the higher prices to the bottom line, OceanaGold generated a record $245 million of free cash flow in 2024. And to be clear, this is real free cash flow, operating cash flow minus all investing cash flow such that what's left over is available to reduce debt, pay dividends and return capital to shareholders. That $245 million of free cash flow represents around a 15% after-tax yield on the enterprise value of OceanaGold, which is a great return for investors. So what do we do with this free cash flow? In line with our capital allocation framework, we strengthened our balance sheet by repaying in full our revolving credit facility and getting into a strong $192 million net cash position. Shareholders now own 100% of this business, which is well-positioned to grow. And in line with our capital allocation framework, we also delivered shareholder returns by our dividend, by actively using our share buyback program and through a 60% increase in the share price, which meant we were amongst the top performers in our peer group. Yesterday, the Board of OceanaGold approved a doubling of the annual dividend and approved up to $100 million of share buybacks in 2025. Specifically, as it relates to the fourth quarter, we produced 12% more gold at a 10% lower all-in sustaining cost per ounce than the previous quarter. Haile, Macraes and Waihi all delivered higher production at significantly lower unit costs. This delivered a record quarterly net profit and record quarterly free cash flow with a free cash flow margin for the quarter of $984 per ounce. It was really pleasing to see our ability to convert most of the strong gold price the bottom-line. And as you know, gold prices have increased further since. Most importantly, our fourth quarter was a safe quarter. We continue to progress our safety improvement plans. Our people have worked hard to deliver the operational and financial results we are reporting today, and we are all committed to this being done safely. I'll now turn the call over to Marius, who will discuss our 2024 financial results in more detail.
Marius van Niekerk: Thank you, Gerard, and good morning, everyone. As you can see, Q4 and 2024 was a continuation of a trend of significant improvement period-on-period. The quarterly revenue was a record taking our annual revenue to another record of $1.3 billion. Our EBITDA for the quarter delivered a strong 58% margin. Adjusted earnings per share of $0.15 for the quarter was a 67% increase on the prior quarter. And for the year, we achieved an adjusted EPS of $0.29. Operating cash flow per share was 64% higher for the quarter. In Q4, we generated an additional $147 million of free cash flow, bringing the total for the year to $245 million, a record for the company, and that was on the back of an average realized gold price of just over $2,400 per ounce. This record free cash flow was achieved after investing roughly 75% of our capital in opening up new open pit phases, adding underground phase positions, advancing new projects and investing in our exciting exploration targets. Looking at 2024 from a broader perspective, you can see we've come a long way since 2021, systematically generating free cash flow, reducing our debt and strengthening our balance sheet. In line with our capital allocation framework, reducing our debt was a key priority for 2024. I'm very pleased to confirm that we repaid $85 million on the revolving credit facility in the quarter, bringing the outstanding balance of that facility down to zero. The growing net cash position of $192 million allows us to be confident that we can continue to advance our expanding exploration and growth opportunities and to improve shareholder returns. Our balance sheet is strong, and yesterday, our Board committed to double our current dividend. In addition, we also bought back $16 million worth of shares in Q4, bringing the total value of shares bought back since July to $24 million at an average price of CAD3.79 per share. We intend to continue paying our dividend and purchasing shares under the buyback program in 2025, all in service of maximizing shareholder value. I'll now pass it over to David to discuss Haile.
David Londono: Thank you, Marius, and hello, everyone. Haile produced record gold production in the fourth quarter with over 75,000 ounces, which contributed to our record annual production of 215,000 ounces. Production performance was in line with our original guidance expectations as well as the profile of decreasing all-in sustaining costs that we expected throughout the year. Fourth quarter all-in sustaining cost was $1.87 per ounce and 1628 [ph] per ounce for the full year, which was also in line with our original guidance ranges. During the quarter, we benefited from a 1 gram per ton increase in feed grade as compared to the third quarter, mostly due to a higher grade mine from Ledbetter Phase 2. Looking back at 2024, I need to acknowledge the incredible work the team has done to safely ramp up the Horseshoe underground operation. We ended 2024 having mined over 400,000 tonnes. And with a full year production coming from underground in 2025 and beyond, we will continue to provide stability to the existing open pit operation for many years to come. Much of our exploration drilling in 2024 was focused on filling and expanding resources that have the potential to be mined from underground. We have had great success at Horseshoe and additional success in drilling Ledbetter Phase 4. Higher grade results from these drilling will contribute to the ongoing trade-off study we're doing to determine its final pace of Ledbetter can potentially be mined from underground. We look forward to sharing more with you on that study as it progresses. I will now turn the call over to Peter to discuss the Asia Pacific operations.
Peter Sharpe: Thank you, David, and good morning, everyone. During the quarter, Didipio delivered gold production of approximately 20,000 ounces and copper production of 3,100 tonnes. Production continued to be impacted by the lower mining rate in the breccia ozone as a result of the stope redesign and reschedule – discussed in detail last year. The fourth quarter was also impacted by a number of severe weather events, including four typhoons during the month of November, resulting in unprecedented amounts of water falling on the property. I would like to emphasize that while we recognize that the reduced mining rate in the Breccia ore zone has a negative impact on the average grade mined of underground ore over the next two years. The overall benefit for the Didipio operation from this change is very positive as it ensures that we can continue to work this area of the mine safely as well as ensuring that we maximize the overall resource and gold [indiscernible] providing an overall net benefit in medium-term five-year horizon. In response to the recent weather challenges experienced in late 2024, a number of critical actions have either already been completed or in progress of being completed, and they include additional mobile pumping capacity for the underground and operated groundwater system capacity system as well as installation of backup high-voltage power capacity for the underground pumping system. Progress towards reaching our targeted underground mining rate of 2.5 million tonnes per annum by the end of 2026, remains intact and we will release an updated technical report in 2026 that outlines that in a mine plan. With our proactive plan in place, we remain confident in Didipio's long-term value. Macraes delivered another strong result during the quarter, producing approximately 38,000 ounces of gold. Ore was predominantly mined from Innes Mills seven open pit and Golden Point Underground improving grades to the mill compared to the previous quarter. Remarkably, the site continues to push for improvement on the margin and the optimization work that has been ongoing in the process plant since early 2023, helped drive record throughput of 6.6 million tonnes for the year. We are continuing to make strides towards extending the mine life of this asset while maintaining industry-leading low mining unit costs. We're incredibly proud of the team at Macraes for continuing to strive for operational excellence, and I hope that the dedication of this came through when we took analysts and investors to the site in January. Waihi produced around 18,000 ounces of gold in the quarter, the best quarter on record since Martha Underground began operating again in 2021. When we brought analysts and investors, we were able to demonstrate the complex nature of mining and share some of the learnings we've had in the last four years of mining. I'm proud of the work the team has done to persevere and the fourth quarter results is a testament to what Waihi can be capable of when we are effective at extracting those remnant stopes. [indiscernible] costs of $1,557 per ounce is also significantly below what we've seen from Waihi recently. This demonstrates the leverage the operation has when it has a strong production quarter. 2024 was an exciting year for the Waihi team, as we delivered the [indiscernible] and an initial reserve at Wharekirauponga Underground. PFS highlighted the opportunity to continue our mining operations in the Waihi region for at least another 15 years, generating strong returns for our shareholders. In early March, we expect to submit our application for the Waihi North -- Government for approval via the Fast-Track approves process. Our expectation is that we will be [indiscernible] by the end of 2025 and able to start construction towards Wharekirauponga Underground in 2026. In the meantime, our Board has approved $45 million of projects, so that the project is shovel-ready by the time we receive those approvals. We're very excited by the future of Waihi and the strong into 2024 and the generation of free cash flow at site makes the future both near-term and long-term very bright. I will now turn the call to Craig to discuss our exploration.
Craig Feebrey: Thanks Peter. As Gerard mentioned, we increased total mineral reserves by 27% this year to 6.2 million ounces of gold, net of mine depletion, the most reserves we've held on our books to-date. This is a brilliant track record of reserve addition, replacing 16% more than we mined on average on an annual basis, replacing more than 5 million ounces over the past nine years at an all-in cost of around $49 per reserve ounce. This includes the first-time reserve addition of 1.2 million ounces at 9.2 grams per tonne gold from the high-grade Wharekirauponga ore body at Waihi. We also increased our measured and indicated mineral resources this year by 8% to 8.9 million ounces as a result of additions at each of our mine sites. Notably, the majority of the reserve and resource additions during the year are a direct result of new ounces discovered through drilling with conservative reserve and resource pricing of $1,750 and $1,950 per ounce, respectively, providing plenty of upside to today's gold price. These outstanding results are a testament to both the quality of deposits we have within our portfolio and the talent and skill of our exploration team in discovering these exciting opportunities. Looking ahead to 2025, we expect continuing building of our exploration success. At Wharekirauponga, we'll continue drilling from surface to extend the existing resource on the EG vein, which remains open in all directions and is our highest priority exploration opportunity. With the new Fast-Track approval process, we hope to obtain access to additional drill pads and drills. This will allow us to accelerate the rate at which we complete drilling of the WKP system including the very highly prospective T-stream and Western veins in 2026 and beyond. At Haile, we continue to increase underground reserves on the back of exploration success. Horseshoe remains our most advanced near-term target where we remain focused on expanding the reserve based on significant results returning from extensional drilling. In parallel, we're continuing to advance through drilling compelling early-stage target On the back of excellent results at Didipio, our priority is to continue drilling Panel 3 in support of the upcoming prefeasibility study and the planned increase in underground mining rates. In addition to the in-mine drilling, we have several other highly prospective porphyry copper-gold targets scheduled for drilling within our FDA permit. These include [indiscernible], where we identified shallow copper-gold mineralization last year; TrueBlue, which is an offset extension of the Didipio mine, and De Fox [ph], that has returned encouraging results in historic drilling. Finally, at Macraes, we have a significant opportunity to increase resources that could support further mine life extension. As discussed in detail during our recent analyst site visit, zone hosted deposits at Macraes span over 11 kilometers of strike. Our plan here is to convert inferred resources across a number of these deposits, in support of pit push-backs that optimize our mine life at today's gold price. So in total, we'll be investing more exploration and discovery in 2025, than we have for many years. So I look forward to these new results and sharing them with you as they come to hand. I'll now turn the call back to, Gerard. Thank you.
Gerard Bond: Thank you, Craig, and thank you and your team for a simply outstanding year of value creation. Looking forward, we maintain a strong multiyear outlook, with around 20% growth in gold production from 2024 levels by 2026. This is all organic. In 2025, Haile will progress waste stripping at Stage 3 of the Ledbetter open pit during the first three quarters to unlock high-grade ore, from the pit by the fourth quarter. This higher level of stripping and of harder-than-expected ore is one of the main drivers of higher all-in sustaining costs of Haile and the company in 2025. 2025 production at Didipio reflects the impacts of the Breccia stope redesign and re-sequence and the reality of dealing with the elevated water table for much of the year. At Macraes, our 2025 plan includes some mine plan optimization versus the previous technical report in response to much higher gold prices. These optimizations allow us to mine a way that get some most of the gold resource. So we're spending more capital at Macraes, stripping and fleet component replacements work to unlock this value capital. Waihi's 2025 production guidance is based on the strong performance from Waihi towards the end of last year and our increasing confidence in remnant mining. As was the case in 2024, we expect total gold production for 2025 to be slightly back half weighted. Our activities and investments in 2025 underpinned the 20% growth in gold production in 2026, principally coming from up-listing gold production from Haile and Macraes, resulting from full access to high-grade ore from their open pits. Beyond 2026, we will continue to pursue growth via our organic growth projects, like Palomino at Haile or Wharekirauponga at Waihi or open pit cutbacks at Macraes, all of which we will advance over the coming few years and expect to be able to fund from internal cash generation. This is the primary driver of the increase in growth CapEx in 2026. This morning, we announced the addition of Stefanie Loader to our Board of Directors. Stefanie is a highly experienced geologist and mining executive with a track record in mining, mineral exploration and project development. I'm confident that her experience and contributions will add value to OceanaGold our shareholders. We also announced yesterday that David Londono, Chief Operating Officer of Americas has decided to move back to Colombia, in order to be closer to his family. His last day with OceanaGold will be the fourth of April 2025. David has been a valued member of OceanaGold since he joined Haile in 2021 and has guided Haile through operational improvements, permitting of the underground expansion and most recently, delivering the Horseshoe underground mine into production. Since the start of this year, Matt Waller has been our Asset President in charge of Haile, leading day-to-day operations. Matt's been with OceanaGold for over two years, and I've worked with Matt for 13 years and then confident he will take Haile into its next phase of performance uplift and growth and has made a great start. Matt will report to Bhuvanesh Malhotra, our Chief Technical and Projects Officer, who will permanently assume David's executive accountabilities of the Haile Gold Mine. For those of you who haven't met Bhuvanesh, he is a deeply experienced mining executive with over 25 years of experience. He's been with OceanaGold for around 12 months and prior to that, he was Rio Tinto in a number of global roles for 18 years. I'd like to take time while David is here on the call to thank him for his significant contribution both to Haile and the company more broadly and to wish him his family all the very best in his move back to Colombia and in his future endeavors. Thank you, David. In summary, OceanaGold has delivered a strong quarter and year, resulting in significant free cash flow generation and returns to our shareholders. We remain committed to safely and sustainably running our operations so that our workplaces are safer everyone working there and good for our host communities. Delivering on our commitments will allow us to consistently generate strong free cash flow, enable us to reinvest in our exciting growth projects, maintain a strong balance sheet and return capital to our shareholders via our dividend and buyback programs. We remain very well positioned with significant opportunities to deliver attractive growth and shareholder returns in 2025 and beyond. I'll now turn the call over to the operator open up the line for any questions.
Operator: Thank you [Operator Instructions] Your first question is from Wayne Lam from TD Securities. Your line is now open.
Wayne Lam: Hi. Thanks guys. I guess first question, just wondering on the 2026 guidance. It seems like there's been a haircut on production to where the updated guide is in line with last year's prior 2025 outlook. So just wondering what's driving that just based on the 2024 Haile mine plan, Haile was doing 300,000 ounces the next couple of years in 2026, 2027, which would be over half the guide. So just wondering if there's been a reset in expectations that those two years won't be quite as big of an increase at Haile versus prior expectations?
Gerard Bond : Hi, Wayne, thanks for the question. Yes, Haile is one of the drivers of the moderation in outlook. And principally, that's a consequence of that delay in stripping that we experienced this year in relation to 2026. It's just kind of got a carryover effect that you will see. The gold is still going to be mined, but just over a longer period of time, spills into [indiscernible] years. Also, we're dealing with harder ore than we expected. And that's been the revelation this year, both the quantum of hard ore, but also the intensity of that hard ore has slowed down our mining rate and also our processing rates. So we're processing less tonnes than we expected as a result of that hard ore. Obviously, we're getting the most gold out of the ground and then getting the most gold out of ore is our primary driver of value creation and both the rate of getting it out and then also the rate of processing has slowed as a result of about harder ore. We also have lower effects of Didipio. As Peter mentioned, that high-grade ore breccia stope, which we originally expected to get out over like a three-year period as a result of that change in mine sequence, it's now coming out over a longer period of time. I know it sounds like it's -- into the near-term profile. But the benefit of it is that we're going to get it all out with a higher degree of confidence. So it is actually the right thing. And then Waihi is a little lower as a result of what we thought versus the prior year as well versus its technical report. So if you look at the technical report of Waihi, the latest technical report has the updated outlook, which is, I think, around 60,000 or 70,000 ounces, whereas the previous technical report that underpinned the outlook was at a high level.
Wayne Lam: Okay. Great. Yeah. Thanks for that color. And then maybe just on the reserve update. I had a couple of questions. First, at Didipio. It seems like you got a lot more tonnage, but a 20% haircut on grade. I'm just wondering if that's being driven by the redesign since I thought that it was just a resequencing of stopes. And then just wondering with the $200 increase in gold price assumption, just wondering if we should have expected a greater sensitivity on ounces at Haile and Macraes. Just trying to understand how to think about the update and how much offset to depletion was driven by the higher gold price?
Gerard Bond: Yeah. Well, I mean, the gold price assumption change had a very little effect overall. It had a minor positive effect. I think it's around 110,000 ounces of the uplift, but the primary driver of the uplift in reserve addition was through the drill bit. But I'll let Craig answer that question as it relates to Didipio, Craig?
Craig Feebrey: Thanks, Gerard. So Wayne, could you just come back with the second part of that question, please? Was it the reduction in total ounces there to Didipio?
Wayne Lam: Yeah. Just wondering in terms of the drivers of the increased tonnage and the lower grade?
Craig Feebrey: Yeah. So it's simply a matter of what Gerard described in general, it's those -- the ounces are there, but the grade -- the tonnage has increased. So it's had a reduction in the grade, but total ounces have remained similar.
Gerard Bond: But Wayne, as I heard your question, too, the Brecher redesign has not altered reserve. All that Brecher high-grade ore is still in the reserve. We actually have a greater degree of confidence of getting it out. That didn't alter the reserve. The additions now I think to Didipio were through the drill bit than towards the bottom of the ore body.
Wayne Lam: Okay. Understood. And maybe just last one at Waihi. The PFS, I think you guys recently put out had production in 2025, much similar to what you guys had produced in 2024. And just wondering what's driving your increased confidence in the remnant mining where the 2025 guide seems to be a step change higher versus the most recent deck report?
Gerard Bond: Yeah. Good spot, Wayne. It is higher and that's been a good news. And that's just born of the confidence that we have in that improvement in remnant mining that Peter spoke about. Look, it has been challenging over the last two years. But if you look at the last quarter and the last four months of last year, the team extracting ore at grade at a rate higher than it has ever been achieved since Martha Underground started in 2021. So it is actually a reflection of confidence in the performance of Waihi to deliver higher than what we expected when we prepared the technical report, which is getting on about eight months ago from the first invention of assumptions for it.
Wayne Lam: Okay. Great. Thanks. Thanks for taking my questions, and to David, thanks for everything and wish you the best of luck.
David Londono: Thanks, Wayne.
Operator: Thank you. Your next question is from Ovais Habib from Scotiabank. Your line is now open.
Ovais Habib: Thanks, Operator. Hi, Gerard and OceanaGold team, congrats on the team on a solid Q4. A couple of questions from me. A couple of questions have already been answered. So I'll move on to -- just in terms of the guidance provided, CapEx was higher than our expectations. If you can give us a little bit color in terms of the CapEx kind of being higher going into 2025, is that mostly Haile and the stripping at lead better. And part two of that, good to see production increasing in CapEx falling off in 2026. Does the 2026 CapEx include CapEx for WKP?
Gerard Bond: Yeah. Thanks for the questions, Ovais. Look, -- on a -- if I'm thinking about bills, the cash cost of the company year-on-year are broadly unchanged, which is good. With the driver of the increase in all-in sustaining costs primarily comes from stripping, primarily at Haile for the reasons mentioned. We're just into led better for longer and we have higher ore and that harder ore I should say, the harder ore increase the cost of mining somewhat. We also have more stripping and more fleet maintenance replacement costs at Macraes, that's actually helping us unlock a longer-term production profile for Macraes. So good investment of capital. And then -- so that's the all-in sustaining cost element. And then from a non-AIS, the growth capital, we have $40 million applied to WKP advancement for the reasons that we outlined in December. And we have about $7 million going into Palomino development. And then we have higher exploration at all sites. We're spending more money on exploration at all sites in 2025 than we've done before. And then on a multiyear basis, in 2026, WKP is about $100 million of capital. That's in line with what is in the technical report. And Palomino, we'll be spending around $45 million. So the big step up in capital is overwhelmingly funding our organic growth profile.
Ovais Habib: Okay. Got it. Thanks for color on that, Gerard. And just kind of sticking with Haile, again, you've been having good results, exploration results at a bottom of a lot better. Palomino is looking like the next mine to be mined by underground. When will you be start being comfortable to talk about lead better as an underground contributor?
Gerard Bond: Yes, great question. We continue to drill. We have a lot of analytical work working on the trade-off between whether Leadbetter 4 is going to be best done by underground mining methods or from an open pit, and towards the end of this year, likely this time next year, we'll be unveiling the outcomes of that those findings and share it by an updated technical report for Haile.
Ovais Habib: Got it. And then just quickly moving to Macraes. I think, Wayne was asking this question. I mean at the site trip, the key takeaway was that there's opportunity to increase the mine life at Macraes. Does the gold price that you are using now for the reserves sufficient to start adding the mine life? Or do you need to see additional exploration upside before starting to give us more color on how the mine life is improving?
Gerard Bond: No, we don't have to update -- do any more. I don't have to update the pricing. There's a big gap between our reserve price and our resource price and current spot or even some moderate outlook from a mine planning perspective of the gold price. So the investment in stripping the mine plans we can change we do a little more stripping than because we expect to be mining for longer, we're doing more -- we're doing about four or five truck rebuilds next year, Ovais, to basically keep that fleet capable of mining at Macraes for longer. But no, it's not driven -- we don't need any increase in reserve to warrant that increase in investment.
Ovais Habib: Got it. That’s it for me. Thanks for taking my questions and again, I also wanted to say all the best to David, hope we cross paths in the future.
David Londono: Thank you, Ovais.
Operator: Thank you. Your next question is from Cosmos Chiu from CIBC. Your line is now open.
Cosmos Chiu: Hi. Thanks, Gerard and team. All the best David. Maybe my first question is on Didipio. As Peter mentioned, and Gerard, you mentioned as well, there's reduced mining at the higher-grade breaches stopes and for water management as well. It sounds like it's been factored into your guidance for 2025 and also 2026. But it sounds like might be a two-year sort of issue. Did I listened correctly? And if that's the case, should it improve beyond 2026?
Gerard Bond: Well, I mean, I'll have a go and then Peter, feel free to add anything. I mean the -- the main driver is breaches stopes redesign, right? When in the near-term, when you take the percentage of high-grade ore are lower as a percentage of the overall feed mix, that has a moderating effect on the near-term production profile. But again, because of the change in mining method, we now we're much higher confidence of getting it all out. So it's a good business and value-oriented decision to do so. You have to wait for the updated technical report, which Peter spoke of, that's going to -- coming this time next year, we'll be looking to share it where you'll see the benefits of drilling. You'll see the benefits of that uplift in underground feed rates to the mill. Again, Peter mentioned that we remain confident that by the end of 2026, we will be at that 2.5 million tonnes per annum, which is above the 2 million tonnes per annum we were doing prior to the rainfall events, and that has a big impact on the production profile. So to answer your question, over the next two years, you've probably got profile of Didipio reflected in the guidance. But beyond that, we remain confident that the uplift in mining rate will give us a net improvement in overall production from Didipio because of that grade uplift of fee to the mill.
Cosmos Chiu: Okay. If Peter has got nothing else to add. Maybe I can move on. Maybe moving to Haile. As you mentioned, you're encountering harder ore. Gerard, are you looking into like longer term solutions to deal with this partner or optimizing drilling patterns or adding equipment? Or is there anything that you can do with it?
Gerard Bond: Well, look, I mean, just the first order of business is just increase the density of explosive, just increase of fragmentation, right? So that increases your explosives cost, but that's the first order of business. We had a additional crushing capacity there for preview trial the crusher we’ll continue to look at that. We slowed the rate of processing down to get greater recovery because, again, we want to get the higher recovery levels, and we did get higher recovery in the year. But no, this is something that isn't rocket science. It's just a reality of what geology has given us. And so we remain confident that we'll be able to get the highest recovery of the gold from ore mine, but it has just slowed the rate of growth. I'd also say that the near-term effect of the change in stripping profile means that a lot of the benefits of this opening up of Ledbetter 3 are experienced in the years after 2026 as well. And we have really good access to Ledbetter 3 ore once we complete the stripping campaign in 2025 in about the third quarter. And that's what's one of the primary drivers of the uplift in 2026, and we'll continue to have that benefit and higher grade production from Haile in 2027 as well.
Cosmos Chiu: That sounds great. And then maybe this leads in well to my next question here, Gerard, Ledbetter Phase 3, you should get a full year's worth of contribution in 2026. Can you remind me how long Ledbetter Phase 3 is expected to contribute? And where is the transition to potentially Letbetter Phase 4?
Gerard Bond: Yeah. I think it's about three years of Ledbetter 3 and then we get into the season of Ledbetter 4. So it'd be around 2028, you're looking for that decision to have been effective and reflected in your mining.
Cosmos Chiu: We do look the same way, so you're not mistaken. So maybe I ask a question that Wayne would might ask. In terms of guidance, your cost guidance for 2025, there's an increase from last year, $1900, $2050 an ounce, last year was $17.77 an ounce all-in sustaining cost, what kind of inflationary levers have you factored into your numbers? And where are you seeing the highest inflation? I guess, for example, in the US, there might be inflation, but you don't really get the benefit in terms of a weaker foreign currency. So help me understand how -- what you factored in?
Gerard Bond: Yeah. Well, the most driver of the cost is activity related, right? So if you do more stripping and that stripping is of harder ore. That's the primary driver of the cost. And then likewise, at Macraes, a great investment in stripping and that fleet replacement. So the primary driver of the increase is activity. You're right, Cosmos, that the -- currency inoculation of Haile does not exist. It's a US dollar business, US dollar costs. By contrast, New Zealand dollar and the Philippines peso, you will see has -- their currencies have softened against the US dollar, and that gives us a nice bit of protection against local inflation. Inflation is real, we have inflation of around 4% to 5% in labor, and that plays out to about 40-odd percent of our overall cost base. And that rate of inflation in labor can be -- varies according to the skills that you're acquiring. And in our industry, and this is not new news in our industry, there is a shortage of skilled trades people. And what we do find is that fill-in skilled trades rolls is year-on-year, a little more expensive and above the average rate of inflation. But we do have best to recruit and retain our own. But when we have to supplement those with contract labor that comes to us at a higher cost.
Q – Cosmos Chiu: Great. Thanks, Gerard and team. Those are the question I had. Thanks for answering my questions.
Gerard Bond: Thank you, Cosmos. Appreciate it.
Operator: [Operator Instructions] And your next question is from Mike Parkin from National Bank Financial. Your line is now open.
Q – Mike Parkin: Thanks, guys for taking my question. Just a follow-up on Cosmos and Wayne's kind of comments around Haile and ore hardness. Is it like the underground mines are all in this harder ore in the bottom of the open pit -- do you have a sense of what percentage of your reserves are impacted by this need to kind of tighten up last patterns and incur slightly higher mining costs to address the ore hardening?
Gerard Bond: Yes. Well, I think it's primarily open pit. The ore hardness has been the surprise. The harness of the ore from underground has not been as a surprise and is not the issue. But it would be -- I think it's a great opportunity for David on his final conference call to answer that question as well. David?
David Londono: Hi, there Mike. Yes, it's mostly the open pit and what we found in Ledbetter 2 is that the quantum of the amount of hard ore that we found was bigger than we did in Ledbetter 1. So we expect the same thing to happen in Ledbetter 2 and Ledbetter 3. So the quantum is in the bottom of the pit and in the high grade ore.
Q – Mike Parkin: Okay. Okay. So no real surprise with the underground. That's great. Thank you. And David, all the best in your future endeavors and hopefully get to put your feet up and enjoy a drink.
David Londono: Thanks. Thank you, Mike.
Operator: There are no further questions on the phone lines. We will now proceed with the webcast question. Rebecca, please go ahead.
Rebecca Henare: Thanks, operator. One question coming from online. Could you please talk through the guidance for Didipio. Would it be expecting much higher production versus this year, given the higher 2 million tonnes per annum underground mining rates and hopefully lower impact of storms?
Gerard Bond: Well, thanks for the question. Yes, the primary driver-- the story of increasing the underground mining rates remains intact. We expect to be at the 2.5 million tonne per annum mining rate by the end of 2026. The primary driver of the change in production is the reshaping of the timing of the feed from the high-grade stretcher [ph] zone, that's the high-grade ore. And the uplift in our tonnes that will come to that 2.5 million tonnes will be from the lower-grade monzonite scopes. This monzonite is still higher grade than the stockpiles, but because if you take out the feed percentage, which I think is around 20% of the feed that was going to come from the stretcher zone, so that gets moderated, that moderates the overall rate of production in the longer term from Didipio, but we still do expect that, that uplift in mining rate to have a net positive effect on the production from the Didipio.
Rebecca Henare: That concludes the questions the webcast. I'll now pass it back to Gerard for closing remarks.
Gerard Bond: Well, thanks, everyone, for dialing in again. A big thank you to David Londono for 3.5 years of tremendous contribution to OceanaGold. Wishing him the best. Thanks, everyone for participating, and have a wonderful day. Thank you.
Operator: Thank you. Ladies and gentlemen, the conference has now ended. Thank you all for joining. You may all disconnect your lines.